Jacob Lund: Good morning, and warm welcome to Investor's results call for the second quarter and the first half of 2025. I'm joined here in the studio by our CFO, Jenny Ashman Haquinius; and our CEO, Christian Cederholm, both will soon give their presentations. Today, we are also fortunate to have the CEO of Mölnlycke, Zlatko Rihter with us, and he will provide some more in-depth comments on that company. Following his presentation, we will be opening up for questions both via our operator and online. And with that, over to you, Christian.
Christian Cederholm: Thank you, Jacob, and hello, everyone. So Q2 results were healthy in a turbulent environment. Our adjusted net asset value grew 3%, in line with the SIXRX return index. Our TSR, however, was minus 5%, reflecting a wider discount. In times like this, we stay close to and support our companies as many are focusing a lot on cost efficiency and agility. We have continued to see significant investment activity across the portfolio reflecting attractive opportunities in all three business areas. Our financial position remains strong. At the end of the quarter, our net asset value stood at SEK 961 billion. Let me briefly go through the three business areas. Starting with listed companies that represents about 70% of our portfolio. Listed companies generated a total return of 6% and ahead of the SIXRX return index that gained 3%. Saab was the main driver of our outperformance. During the quarter, we invested SEK 1.2 billion in Ericsson. We continue to see Ericsson as well positioned to deliver profits and cash flow and to find new growth avenues over time. We've entered a contract to divest 5 million shares in SEB in order to avoid potential regulatory implications from our ownership increasing as SEB buys back and canceled shares. We remain positive to SEB's long-term potential, and we're comfortable at an ownership at or around the current level. The portfolio companies continue investments to future-proof the long-term competitiveness. And ABB robotics new product families from China is one good example of this. Now over to Patricia Industries. Total return for Patricia Industries was minus 6%, including cash with significant headwind from multiples and FX. Our major subsidiaries grew sales organically by 5%, driven by Advanced Instruments, Laborie, Sarnova and Mölnlycke. And as in previous quarters, Investor products continue to drive significant growth in several companies. Adjusted EBITDA declined by 1%, impacted by lower profitability in Mölnlycke. Margins were lower, again, with significant headwind from the weaker dollar. Mölnlycke and Permobil both distributed capital to Patricia Industries during the quarter, Mölnlycke EUR 200 million and Permobil SEK 1.5 billion. This is a testament to the strong cash flow generation in the Patricia Industries portfolio companies. Chuck Witkowski was appointed new CEO of Permobil effective as of July 1, I'm really happy to have found a strong internal successor to Bengt, who's done an outstanding job developing Permobil during his tenure. After the quarter, on July 10, Advanced Instruments closed the acquisition of Nova Biomedical. Patricia Industries contributed USD 1.6 billion to finance this transaction. And as you know, we're really excited about this combination. Together, the two companies create an innovative, diversified and global life science tools platform with attractive long-term prospects based on for example, a strong product portfolio across the biopharma and clinical markets, global presence with direct sales in key geographies and with low overlapping call points and a scale and really strong R&D capability, boding well for continued innovation. As you can tell from the pie charts here, the combined company will have roughly 2/3 of sales from clinical and 1/3 from biopharma with the latter growing faster over time. About 60% of sales come from the U.S. and with strong presence also in Europe and in APAC. And about 70% of sales come from consumables, which, of course, improves the stability of the business. For the major subsidiaries and our 40% in 3 Skandinavien, in aggregate, reported last 12-month sales was SEK 67 billion and EBITDA was SEK 16.7 billion. Now please note that this is all in Swedish krona, so of course, sensitive to foreign exchange rates. Investments in EQT is our third business area, make up about 10% of the portfolio. Here, we had a fairly busy quarter. In Q2, total return from investments in EQT was 4%, driven primarily by depreciating share price in EQT AB. During the quarter, we acquired shares in EQT AB for a total of about SEK 800 million, increasing our ownership by 0.4 percentage points. We think EQT has a proven business model that has consistently generated attractive returns to its fund investors. And this, of course, supports its ability to raise funds even in this tougher environment. We also co-invested alongside EQT X in Fortnox. Fortnox offers vital software base infrastructure supporting Swedish small- and medium-sized companies, and has an impressive track record of profitable growth. This will be a passive minority investment, and we view this as an extension of our fund investment in EQT X. From time to time, we will selectively look at co-investment opportunities as a complement to our fund investments. During the quarter, we invested SEK 2.6 billion in this Fortnox acquisition and expect to invest another SEK 1.9 billion once EQT bid is finalized. Finally, we committed capital to the new EQT infrastructure transition fund, a new member of the infrastructure funds family backed by a team with a really strong and long track record. So to summarize, we have a strong platform and clear strategic direction. To continue deliver, we focus relentlessly on performance, portfolio and people. When it comes to performance, profitable growth, of course, is the main driver over time for our companies and our companies continue to invest in future proofing. At the same time, as mentioned, several companies are currently sharpening their focus on cost efficiency. On the portfolio, we continue to see and execute on investment opportunities across our businesses and we maintain a strong financial position. As for people then, we're committed to broadening our network and to always strive to have the right person in the right place. With that, thank you, and over to you, Jenny.
Jenny Ashman Haquinius: Thank you, Christian, and good morning. So let me take you through the financials. So in Q2 2025, we had a net asset value -- adjusted net asset value of SEK 961 billion and this implies an increase of 3% compared to Q1. For the quarter, performance was mixed across our business areas. Listed companies increased with 6% and investments in EQT increased with 4%. Patricia Industries, however, decreased with 6%. And this implies a total return of 3% for the quarter and 1% year-to-date. And now I will comment specifically on each of the business areas, and I will start with listed companies. So within listed companies, share price performance was mixed. Saab was a strong contributor also this quarter followed by Wärtsilä. We saw positive share price development in most of our companies. However, Atlas Copco, AstraZeneca and Electrolux had a tougher quarter looking at total return. Total return for listed companies portfolio was 6% compared to SIXRX benchmark of 3%. And as for absolute contribution, Saab and ABB were the biggest contributors while Electrolux, Atlas Copco and AstraZeneca, naturally then from the previous slide, contributed negatively during the quarter. And then moving on to Patricia Industries. In Patricia Industries, we saw a 6% decline in estimated market values, and that's compared to Q1. So from SEK 214 billion to SEK 202 billion. And this decline was almost in fully explained by lower valuation multiples, but also, to some extent, negative currency impact. And as for the lower valuation multiples, they reflect average peer stock price development over the last quarter. The decline was, however, somewhat offset by underlying earnings growth and cash flow generation in the portfolio companies. And if we look at the value development across the companies, we can say that most of them were negatively impacted by lower valuation multiples and that some of them were also negatively impacted by currency. Worth noting here is the capital distribution from Mölnlycke of EUR 200 million and from Permobil of SEK 1.5 billion. And then commenting on performance across the companies in Patricia Industries. Again, it was mixed. And I will highlight a few things, and I will comment specifically on Mölnlycke on the next slide. So first to highlight the positives. We saw strong organic growth in Advanced Instruments, in Laborie, Sarnova and Mölnlycke. And as for Advanced Instruments, we saw notably strong clinical instrument sales, and that's due to the launch of the OsmoPRO MAX but also strong growth within consumables. And we will report on the combined entity, Nova Biomedical from Q3 as the first quarter. And for Q2, I can comment that the combined business grew in line with the historical average. For Laborie, we continue to see good runway with the Optilume products. In the short term, comps are getting continuously tougher as the Optilume urethral strictures is included in benchmark quarters. But longer term, there is a lot of potential in both urethral strictures and the more recently launched BPH product. Piab and Permobil, they had a tough quarter when it comes to sales growth, but profitability held up well. We continue to see a tougher performance for BraunAbility and Atlas Antibodies, and that's because market demand remains weak. And for Atlas Antibodies, we are also seeing some increased competition from low-cost alternatives for some of the products. And then moving on to Mölnlycke and we will listen to Zlatko in a few minutes, so I will keep this on a high level. But for the quarter, Mölnlycke had good sales growth, driven to a large extent by Wound Care, which grew 11% organically for the quarter. Profitability, however, was unsatisfactory, and that is in part explained by external factors, and that's primarily the negative FX from a weaker U.S. dollar but also, to some extent, tariffs from which we started to see an impact later in the quarter. And these external factors impacted the margin with roughly 3 percentage points. And then on top of that, the slowdown in ORS also weighed on profitability. But as mentioned in the report, Mölnlycke is accelerating the work to find efficiency improvements. And worth noting, however, is that the actual timing of the positive impact from such improvements will vary. Moving on to investments in EQT. The total value change was 4% in the quarter, and that's primarily driven by EQT AB, which was up 6%. Fund investments were up 1% and as a reminder, we report EQT fund investments with 1 quarter lag. So the 1% is based on EQT's Q1 report. For Q2 earlier this morning, EQT reported 1% positive development in Care fund investments for H1, indicating a similar performance for Q2. But note that this is in euro and that the correlation to our EQT fund investments is not 1:1, but perhaps to give some indication. On the right-hand side, we illustrate the net cash flow from EQT to Investor, which was negative with SEK 2.8 billion in the quarter, and that's because investments were larger than the sum of dividend and proceeds. Our 2.6 investment in Fortnox and the 800 million acquisition of shares in EQT AB represent the majority part of investments for EQT in the quarter. And this is an illustration of net cash flow from our investments in EQT over time. While it's quite lumpy on a quarterly basis, over the past 10 years, we've received a net cash inflow of SEK 2.3 billion on average per year. Our balance sheet remains strong, and this is always a priority, but perhaps even more so in this turbulent times. Leverage was 1% in the quarter and gross cash was SEK 40 billion. If we include the closing of Nova Biomedical that took place in the first half of July, leverage is estimated to just shy of 3% and gross cash to roughly SEK 24 billion. And this is, of course, all else equal as per the last of June. And as for leverage. And as you know, this is a comfortable level at the very low end of our policy range. And then on to my last slide. So over the 5, 10 and 20 years, the Investor ABB show has outperformed both SIXRX index and our internal return requirements, which we've highlighted in orange and this underscores the strength and the resilience of our portfolio and our strategy. The past year has presented headwinds, but the long-term track record demonstrates the ability to navigate through cycles and generate sustainable returns for shareholders over time. And with that, I will leave the word to Zlatko to provide some more color on Mölnlycke.
Zlatko Rihter: Thank you so much, Jenny. And my name is Zlatko Rihter. I'm the CEO at Mölnlycke, and I will kind of cover my presentation in kind of 4 blocks. A little bit around the background. We'll talk a little bit about the key trends in health care, and then we'll cover our strategy going forward and, of course, comments on first half and Q2 from my side. So please, next slide. Just a little bit of background on Mölnlycke for you that are not fully updated. We just passed EUR 2 billion sales last year for the first time, close to 29% EBITDA margin. We are close to 9,000 employees worldwide, and we are divided into 4 business areas since a few years back, of which Wound Care, by far is the largest one representing close to 60% of our sales, ORS being 25% a little bit more than that, and then gloves and antiseptic smaller, but they are very important in certain markets. So they are not kind of fully global, so to speak. So that is a little bit about the background. So if we then take the next slide. So just kind of our reason for being, and I think this is an important slide because if you really want to be future-proof and long-term successful. This is kind of when we did the large study a few years ago based on ethnographic research, we came out with this. This is kind of the #1 pain points that our customers have in the 4 different business areas. We know today that if you're a patient with a hard-to-heal wound and that is around 2% to 3% of any given population. We know that 7 out of 10 patients don't get the right diagnosis today because they meet the generalist instead of an expert and thereby get the wrong treatment scheme. And in many cases, the wound heals too slow or not at all. So this is, of course, one of the areas we would like to address. We also know that a typical operating room have 1,200 hours of standstill per year, basically lacking of components for people which kind of delays surgeries, for example. And converting that into cost, that means around EUR 2.5 million of unnecessary cost per operating room. And you can multiply that maybe by 20, 50, 100 dependent on the size of the hospital. So it's a lot of money, that should normally be the taxpayers money at the end of the day in most markets. When it comes to surgeons, I mean, they spend a lot of time in surgery, of course, and many times, they can perform surgeries for 12-hour shifts. And of course, the hand hygiene is very important. Historically, we've been very much focusing on the safety, so to avoid contamination of surgeons' hands and nurses glove matter that are in the operating room that also, I mean, 1 key feedback that came back is tactility, so you have to kind of integrate 2 technologies in one, make sure they're both safe and tactile. And we also know in antiseptics that 4 or 10 nurses that enter an operating room have not fully followed the disinfection protocol. And we can argue a long time what is so, but that's kind of the fact. And of course, our challenge is a little bit to make sure that we change that. And I think I'm prepared -- showing this slide is that this is kind of the big part of our focus to make sure that we kind of contribute to the global health care, but also make sure that we -- if we solve these problems are seen as a leading player in the respective business areas that we act within. So next slide, please. So then let's move a little bit into the background. I mean in the last few years, I think Mölnlycke has performed well. We operate in a market which grows somewhere 4.5% to 5% per year. We managed to accelerate growth. The last 3 years, it's been around 8% from a historical level of 3%. And I think also from a profitability wise, we've improved year-by-year and also strengthen our position. Thereby, we have increased market share in all of our business areas. And I think, as you can see here on the slide, we won't go through it in detail. We have a solid and improved financial performance. And this is a little bit how we built our plan. Then you all know we'll come back to that, of course, that a lot has changed since the end of last year. The first 6 months this year has been exceptional in many ways, and I'll come back to that also. So next slide, please. Next, yes. So basically, I mean, what are kind of the macro trends that we deal with and that we need to address and now take that from very much a health care perspective. We see a tremendous pressure on health care systems since COVID. We see that people and staff health care professionals are leaving. And today, globally, we have around 10 million vacancies. That is basically jobs that are not being done. And that leads to higher cost because you need to have temporary staff, lower wage staff, not qualified staff. And on top of that, also, you see longer queues for surgeries, et cetera, and that's been kind of a status the last few years. The other part, and we all follow the geopolitical situation day by day here, but we also have to understand that during the last -- this has been a trend for the last 10 years. From a trade barrier perspective, I think I've not seen that much going our way, so to speak, the last 10 years. Every kind of decision is a little bit more and more challenging. And we operate in the health care world, a world of health care. We know that the health care systems are different in every market and also quite protected in many markets because you have to be localized in one or another way to be truly competitive in many markets today. And this is, of course, increasing -- has been increasing a lot also the last 6 months. But it's a long-term trend that's been there for a long time, and we have addressed that in many ways. And of course, we'll continue to do that. There is an increased focus on sustainable health care that are 2 parameters. One is, of course, the whole kind of environmental part with CO2 emissions. There is -- if health care would be a country, we should say it would be fifth most polluting from a CO2 perspective country in the world. So this is one of the big sources for the whole CO2 challenge. We also have the other part of sustainable health care, which is more related to -- and please wellness basically. As I said, a lot of staff is leaving. We see that nursing schools are not fulfilled anymore with good students. So it's not the most attractive part to be within. And this is a big challenge now for hospitals and health care providers to make sure that they keep staff and motivate staff and make sure that they want to be in that area and don't choose other type of jobs. So then, of course, the question is, with all these challenges, how do you sort that out? And I think there are like 3 major things that will happen. We will see a new operating models. We'll see new business models in health care. Maybe ending on the kind of a value-based health care at the end of the day, where today, you get to kind of paid per product you sell instead of the outcome. And on top of that, I think, which is a very strong driver coming up, it's -- and here we are a little bit late in our industry versus many others. We see a digital transformation emerging where you need to digitalize and make many things more efficient. So fewer people can provide more care at the end of the day and better care. So that is kind of what we deal with on that. And if I give 1 example, if we take the next slide, which is very concrete. If you look at the -- where -- in what type of settings health care is provided today. And this is U.S. numbers, but they look similar in many other markets. Historically, most patients want to an acute care facility, hospital or elderly home care, long-term care, skilled nurse facilities or hospice, which is dependent on -- if you're on the elderly side, so to speak. And we see that these structures that are quite expensive and resource demanding from health care professionals are decreasing or growing very slow. So where do you find patients in the future? Of course, from acute care, we will see a transfer towards ambulatory surgery care, hospital outpatient care, where you come in, in the morning and go home in the evening basically, so you don't even sleep over. We'll see knee factories, hip factories, shoulder factories, if I may call it like that, where surgeries are performed very specialized. More care in the physician clinic, and then we have the whole e-visits part that were basically get your treatment or health care over screen, which is still not fully defined. It's a lot of movements there, but I wouldn't say it's like this is how it looks like. So I think we should expect development in that area. But all in all, you can see that, that's where the patient's growth is, while in acute care and elderly home where we see patients being pushed towards home care. So you're treated in home instead of any kind of a facility, also kind of a cost saving type of setup. So that's where the growth is. And of course, if we long term as a company want to be strong, we need to be participating where the growth is. And I think today, we are starting that migration, but we have a strong legacy in acute care, for example, from a Mölnlycke perspective. Next slide, please. And next, so strategic direction. I think what we've gone through the last 2 years -- the last 4, 5 years is that we introduced the business area structure 3, 4 years ago. We focused on much of that and we manage, as you saw, accelerate growth and also profitability to a certain degree. We also did a ethnographic-based strategy where we basically try to figure out what is the #1, 2, 3 pain points that our customers have and really tried to address those, both outcome-wise but also in their kind of their workflows and how they operate. And now moving forward, the coming years, we will kind of -- we'll talk about 3 pillars of blocks. One is defend and grow core business. One is conquer new markets and segments and then also protecting profitability in the light of the new challenges and development we see. So if you take the next, please. And also kind of the base, what are the base we're going with. I mean we are present today in acute care, which is, as I said, the maybe most -- where we have our strongest holding, but we have also lately during the last year start to look into post-acute care, primarily on the Wound Care side and then also the ambulatory surgery care on the more surgical parts, gloves, ORS and antiseptics. And we also know that the whole kind of digital virtual care is emerging, not fully defined. And of course, we also have our bets and initial thoughts around how that could be addressed. We have our legacy products that's been around for a long time, very strong brands, the silicon-based solution, which kind of was invented at the whole Advanced Wound Care segment by Mölnlycke, Safetac or Mepilex, which is the product brands. Safetac is the silicon-based solution in that. We have our procedure packs where we really try to move from single to procedure packs to make our operating room efficiency increasing. We have our Biogel brand in gloves, and we have our Hibi brand in antiseptics. And we also have a strategic portfolio that is growing really nice. I think this is where we see the strong performance in Wound Care. We've been very strong in Incision Care, which is kind of a post operational solutions to help manage the wounds, where we have Avance Solo, which is a negative wound therapy. We have post-op solutions, for example Mepilex border post-op and also Granudacyn around Wound irrigations. Where we are a very strong and fast-growing portfolio there, as an example. Also in the operating room solutions, we provide more and more advanced procedure packs where the MIS portfolio is a key component. So this is something, of course, we need to have with us into the next 5 years and really drive. And then we have the geographic part. And here, you can see how our sales is distributed. In the last few years, EU, U.K. is still being very strong more than half of our sales. U.S. being very, very important and been growing very fast and it's today representing a third. And now finally, also, we see good movements in some of the Asia Pacific markets. We have a very strong performance the last few years in MEA, which is today representing 5% of our sales, and also Latin America is coming up on the radar. But of course, if you look at where the world is going and where the people live and how health care is developing, of course, APAC 12% is nothing we're satisfied with over time. So this is how it looks today. We're going into the next phase in our journey, so to speak. If we then take the next slide. So we have kind of recently defined our kind of coming strategy, and we have divided that into 3 blocks. And I'll try to go through them a little bit more in detail. So the first one is kind of defend and growth. So with these activities that we have there, we still believe that we can gain some market share, but maybe not as much as we would like. That's all about defending and make sure that we continue to support our legacy brands where we have been very successful, but maybe they're not seen as the most innovative anymore, but represent a very strong brand value. We will drive a strategic portfolio, which is kind of our recently launched products that represent a big share, I would say, of the total sales, and on top of that are growing high double digit -- or double digit in most cases, if not all. And we also have the third block part of the first block, which is around -- where we are very strong. We talked about therapies. We talk about Wound Care prevention. We talked about incision care. So converting a very conventional market, conventional wound-dressing markets, maybe 3% to 4% today's advanced wound dressings in the operating room post surgeries to cover the wounds, so to speak. Big opportunity that we're driving. We talked about EB and we also talk about scar management, which is a big, big thing in some Asian markets like China. So that is kind of where we believe that we can gain some market share. And then we have kind of defined a portfolio where we talk about incremental sales, basically stuff we're not doing today, where we would like to grow and find incremental sales. And you can say that also divided into 3 parts. Again, as I talked about before, entered the non-acute segments, post-acute in Wound Care and ambulatory surgery care in the more surgical parts and really try to understand how we can be successful there. And that is a different world to a certain degree. It's different dynamics. We will continue to invest in key geos. And the 3 markets that we have defined is Saudi, China and India. And I think Saudi is kind of now. We've been successful in the last few years, and we'll continue to do that. China has come up as a very strong growth driver for us the last years, and we'll continue to that. And maybe India is then more like a latter part of the strategic plan, where we have to build up momentum. But we also know that India is soon to be the third largest market from a GDP perspective and growing very fast. And then of course, we have some post-acute bets also. And then to commercialize both radical innovation that we have in the pipeline, in the different BAs, but also as for those of you that has followed, we made some M&A bets also lately MediWound, which is a company that offers enzymatic debridement that we believe in and also Cyren SOx, which is the DFU and monitoring diabetics foot ulcer monitoring or prevention. So that is also areas that we'd like to kind of commercialize the coming years. And then, of course, if you combine 1 and 2, we still believe that we should be able to clearly gain market share like we've done. And then we have the kind of the third block pillar that we had just launched now, which we call iMpact30+, which basically means that we would like to, to a large degree as possible, that continue the growth in 1 and 2 and then a catch up on the gap that's opened up when it comes to EBITDA this year versus the last few years. And of course, I'll come back a little bit on why, but it's a long-term data-driven transformation approach. So we've done, of course, some short-term measures as well to really maintain the OpEx and cost, but we also now defined kind of the next steps that we'd like to look into. And I think what we do now is that we basically from a data-driven perspective, try to find what is best practice. We kind of define 6 areas that we deep dive into and that will go through the coming years. One is to make sure that we have a solid market profitability in all markets for all BAs. We talked about streamlining the R&D and innovation portfolio to make sure that we really focus on those projects that deliver against the strategy. We talk about operational efficiencies. We'll go through our factories to make sure that we have strong COGS programs there and deliver on those. We talk about organizational efficiency in span-of-control layers to make sure that we have a modern and up-to-date organization. We have the other projects, IT and non-R&D-related that we also will go through and really streamline and make sure that we run them tight. And then we have kind of the final area, we call it, it's like more of a business hygiene. We talk about travel, we talk about external services and also be very mindful in spending to make sure that we now in the coming 5 years, become at the end of the day a super efficient company. So that is the three pillars that we will operate within and we'll quantify them as much as possible down the road in terminal, of course. If we can take the next slide. So let's look a little bit in the business highlights and what we've done. So first half this year, I mean, as you have noticed and we announced that a few weeks ago, we did the largest ever investment of EUR 115 million to expand our manufacturing capacity in Brunswick. As you see, our Wound Care business is growing as strong organically and it has done so for a long time, and we have to make sure that we have the capacity needed. Now this landed in U.S. and of course, that's been planned for a long time. But this has been part of our long term to make sure that we have a good geographical balance and a footprint when it comes to capacity. And we will, of course, be operational here with this factory in 2027. So it takes some time to build it, of course. We secured USD 400 million in financing with the Swedish Export Credit incorporated with them to support our global expansion strategy. We also distributed as Jenny and Christian mentioned before, EUR 200 million to Patricia this spring. And we announced, as I mentioned before, an investment into this diabetic foot ulcer monitor company called Cyren, which will help out to make sure that we have fewer DFUs down the road. We also -- which is a prior investment, that we have a joint venture in Saudi in Jeddah. We opened up our procedure pack manufacturing plant in early this year, and it's now being ramped up to make sure that we satisfy the need in that region and market. And also, we reached 100% renewable electricity and our target there during the first half as part of the SBTi initiative that we are committed to. Next slide, please. And then let's -- let me look at the specifics of Q2, again, 7% organic growth in constant currency, mainly driven in Wound Care where we had 11% growth, as you'll see. And if I have to pick a few markets that had a strong performance in Q2, it was China, Middle East, especially Saudi, Latin America and U.S. We see gloves and antiseptics in a mid-single-digit growth arena and also stable, I would say. And then ORS had a weak quarter with a 2% negative growth. And primarily, that challenge is in MEA, where the comparables were tough. But I think this is the -- there where we need to focus now and make sure that we'll get back on track from a growth perspective. If we then take the next. And then looking at the profitability part, EBITDA development. And of course, Wound Care growing and being the most profitable BA -- business area we have helps out from a mix impact. We had a negative impact from FX in the quarter, around EUR 15 million, which is a strengthened dollar -- sorry, it's weaker dollar, but also strengthened Swedish krona, where we have a lot of our operations. Of course, some negative effects in ORS and gloves when you don't have the full volumes that hits us a little bit. We held back on OpEx, so very moderate increase that, and we started mitigation activities already in Q2, but of course, they will now accelerate in Q3 and Q4 and also going forward into next year. And then, of course, when now we see kind of the evolving landscape when it comes to U.S. tariffs, somewhere around EUR 5-ish million hit in Q2. So it's like 20-ish total with tariffs and FX and of course, this is a little bit up in the air, as you all know, because we have not yet been hit fully by the end outcomes. We don't know that. And we are a little bit dependent on Malaysia and EU, of course, where we have production and imports to U. S. All this being said half of our sales in U.S. are localized already. So it's not so that we only have imports. So it's a big, big share, half of it is already localized, so to speak, since before. We have 2 factories of our own in Wound Care, and we also have a contract manufacturing antiseptic based in U.S. So we'll see what happens there. But of course, here, we have to do a lot of scenario planning and of course, a lot of mitigation actions and looking into what the flows we have, et cetera, but this is something that is affecting us quite big -- big time right now and a lot of focus on that. Next slide, please. So to summarize, and this is my final slide. I think we are well positioned to continue to capture sustainable profitable growth. I think we've shown that last few years. And we have also outperformed competition also in Q1, where we had lower sales. We have some comparables where we see that our competitors, especially in Wound Care had lower growth than we had. We have a robust operating model with the BAs. We have well integrated strategic priorities. We will continue to execute on those. We are and have to continue to navigate geopolitics. I mean being in the health world of health care, we know there is maybe more geopolitics even than some other areas. Since each health care system is specific for that country and also protected in some cases. And being local, whether it's manufacturing or something else, it's important in many markets to be a credible player and be able to participate, so to speak, in the business for real and not just as a very much of a niche player. We landed our new strategy, which is also encompassing, as you saw, a focus on efficiency and make sure that we protect our profitability and of course -- but still 2 out of 3 pillars or blocks in the strategy is to grow and gain market share in different ways. So by that, thank you so much. And I hand back to Jacob.
Jacob Lund: Thank you very much Zlatko, thanks also to Jenny and Christian for your presentations. It's now time to take your questions, and we will start with the questions through our operator, Heidi, please.
Operator: [Operator Instructions] We will take our first question. The question comes from the line of Linus Sigurdson from DNB Carnegie.
Linus Sigurdson: Okay. Great. So you mentioned an assumption of remaining tariff impact in some areas with software demand here in the report. Could you just give us some color on where you're currently seeing these effects most clearly?
Zlatko Rihter: I think I suppose that was to me.
Linus Sigurdson: Well, it was for a Christian, actually.
Zlatko Rihter: Sorry?
Christian Cederholm: Zlatko, if you like.
Zlatko Rihter: Yes, I can start. I mean tariffs is we followed that very fairly. I mean, April 2, the tariffs were announced, we have a global supply chain. So it's not only so that you really have to -- I mean, we spend a lot of time to make end-of-analysis basically to understand all the flows. It's not only a final manufacturing that is affected also where you have your supplier base, et cetera, and many products, components are floating in and out of countries during their value chain, so to speak, to end up as a finished product. But I mean, we are very dependent that they were Malaysia will land and where EU will land because that's the 2 main, I would say, main sources into U.S. Malaysia, where we have our glove production and EU to a large degree where we complement our U.S. manufacturing from EU in Wound Care. And again, I mean, we're following this day by day. I mean it's been 10%. It's been 30% EU. It's been 20% from EU. Malaysia has been 24%. Now right now, it's 25%. And I think that is kind of what we try to figure out. And of course, mitigation plans there is to look at flows. Can you change those? Also, can you do some structural things, technical things also. And of course, at the end of the day, moving into next year, we'll start to discuss prices with customers. But we need to know the base and have a solid starting point. So that is a little bit where we see. The other question was around the softening of top line. I think in Wound Care, we have a very strong performance all over. Maybe later, it's been a little bit weaker in some European markets. Operating room solutions has experienced a little bit more challenges in the Middle East this year, but also this is due to a strong legacy, a little bit in Europe also. While gloves and antiseptics has been more stable. So it's -- I don't see a super clear trend on demand. More than in general, it's a little bit -- at least Q1 was a little bit lower than last year for us and everybody else that we compete with. Q2 a little bit better. 7% growth is kind of not that far away from where we would like to be.
Jacob Lund: Thank you Zlatko. Do you want to offer some context as well, Christian?
Christian Cederholm: Maybe just to add from a -- thanks Zlatko just to add from an overall portfolio perspective, what we see. I mean, if you look at the direct effects, first of all, just as Zlatko mentioned, we're starting to see some direct effects, especially in the latter part of Q2. So basically the tariffs hitting the P&L, if you want. But we would say that still the indirect effects of the tariffs are probably the more dominant. And what that does is, of course, it adds to the general uncertainty. And so clearly, we think it has a softening impact on demand in a number of subsectors. I mean we see weak end demand in, for example, construction, consumer, automotive, semiconductors, et cetera.
Linus Sigurdson: Okay. I appreciate both those comments. And then a second question on Mölnlycke. If you could just give some color on these accelerated efforts to find efficiency improvements. I mean I understand that the timing will vary. But anything you can say sort of about near-term order of magnitude and where in the business, et cetera, is super helpful.
Zlatko Rihter: I think it's hard to give you an exact number. But I mean, what we do is drive an aim for is to kind of close the gap that we're hit by when it comes to FX and tariffs basically, to go back to, call it, historical EBITDA levels or historically that we have in the last few years, and now we have a few percentage points gap. Of course, it's again dependent on how the Swedish krona U.S. dollar will continue to develop what will happen with the tariffs. So I see a little bit like 2 buckets. We have like the bucket where we have tariffs and you have tariffs, you have -- sorry, FX, you have to follow kind of the global development of the economy. We need to understand that. We need to, of course, do whatever we can there. But then we have the other part, which is make sure that we are efficient, make sure that we drive the company in an efficient way and mitigate as much as possible in the coming years to kind of be back on kind of historical EBITDA levels. So that's kind of the goal. Then let's see how much we can put together and still be a forward-leaning company that invest into the business and really try to drive market share at the same time. So -- but I have to give some kind of objective target that is let's try to close the gap as much as possible. And short term, that is hard because a lot of the FX happen basically in Q2 and the same with tariffs that we don't know. So that means also now going forward, we need to be very agile at the end of the day. But that's kind of what we try to do, and those is the FX we would like to get out of that. But also to be a very efficient company going forward. It's a little bit changed, switching gear. We've been a little bit more driving an aggressive strategy. Now we have to kind of continue to do that selectively. And then on top of that, make sure that we manage our business in a good way, as good way as possible.
Linus Sigurdson: Right. And then my final question is on the Wound Care expansion in Maine. If just say anything about sort of how this investment will be phased? And should we expect like any material near-term one-offs or anything like that?
Zlatko Rihter: No. I think this is again expansion. We see that we reach our capacity limitations. We -- of course, we are very proactive here. So we try to be out in good times. So we never ever come into challenges so that we cannot deliver. It's kind of a 2-year project. So if you have to say phasing, maybe, let's say, big picture, 1/4 of the investment this year, half next year and then the rest in '27 and then we should go live end of '27, which basically means that we have additional capacity by then. And of course, we will -- since it is a U.S. factory, we'll make sure that we skew it or face it towards the U.S. portfolio and market need, of course. But we'll still have kind of a global footprint. So there will be other factories also supplying into U.S. But of course, this is a big step for us. And as I said before, this has been -- now the timing is always the timing, but we plan for this for a long time, basically. So this was kind of when we saw that we were reaching capacity limitations. Now it's time to move, and then we took the decision and now we invest.
Operator: We will take our next question. The next question comes from the line of Derek Laliberte from ABG Sundal Collier.
Derek Laliberte: I'd like to start out with a couple of questions for Zlatko here. It'd be interesting to hear in your own words, sort of how you believe Mölnlycke distinguishes itself from competition, particularly in the Wound Care area?
Zlatko Rihter: Yes. No, I think we have a long journey behind us, at least the last 3, 4 years where we have clearly gained market share. I mean the advanced Wound Care market, where we participate is growing somewhere around 5%. We've been growing twice that. And also in this last quarter, 11% growth. Now we don't know how our competitors performed, but there is hope that we also outgrew the market in Q2 with 11% growth. I think this is the core business. We kind of invented this area. We're very strong in this area. We continue to invest into this area. I think also we broadened our portfolio with a negative pressure in the last few years. We also have fibers, hydrogel fibers, which is another area that we mentioned here today. But where we cannot go against AquaCell. So I think we have a good kind of competitive position. We're probably the company with the broadest portfolio. We participate in attractive segments. We invest into new markets. I think lately, we mentioned Saudi. We can also mention China. We can mention continuous efforts into U.S. So here, we have a global presence. I think we have good growth in more or less all markets. What we have to remember is that we sell on value. So to be successful in Wound Care, we are usually much higher price than, if call it the conventional or a low quality dressing or lower quality dressing or value. So we need to sell on value. That means that we need to support our offerings much more than anybody else by clinical studies, health economics, training, education, supporting the customers. So that at the end of the day they get the kind of return on economy also even if they choose us because we have a different model. For example, normally we can use our dressing twice as long as any competitors or most competitors. That's a typical example of that. So we need to do our job. And when we do our job, we are successful, and I think we've done that in a great way the last few years. And we plan to continue that. So we will kind of continue that journey. And I think where we have the biggest opportunities in the coming years is, as I said before in one of the biggest area, many opportunities, but like in incision care, we're still today, when you go -- if you have a chronic wound, you can get advanced wound care dressing, but if you are a part of a surgery today, basically, the challenge is that you still get conventional old type of dressings or plasters even. And the challenge there, of course, is that if you really want to manage the wound well, I think we have a good offering there. Today, it's around 3%, 4%, that to get an advanced wound care dressing post surgery and 96% still get 50 to 60, 70, 80-year old technology type of plasters based on [ glue ]. So we have a lot of opportunities. We need to just be focused and continue, I think, to what we've done good and add as we go. Figuring out the post-acute care segment, which I mentioned also that is, of course, something we need to -- it's the same type of wounds, but a different business model in many countries.
Derek Laliberte: Okay. Great. And then I was wondering, could you give some flavor perhaps on the margins in the different BAs. I mean, is there any sort of negative underlying pressure in Wound Care and also looking at the group, adjusting for this FX and tariffs effect, still looks like the underlying margin for the group is at close to the highest levels. I mean, we've seen in recent years at around 30%. Is that a correct interpretation? Or...
Zlatko Rihter: Yes. I think all four BAs as its been hit, if I may call it similarly, then, of course, when the tariff kicks in, that might hit if Malaysia is high. Of course, that will hit gloves and EU will hit Wound Care and then maybe antiseptics will not get hit because they have local manufacturing in U.S. So that we have to take in to. But otherwise, I think it's the same kind of distribution as before, but they're all a few percentage points lower than they were last year. So it's kind of hit everybody kind of all BA's similar from a percentage point decrease. But then, of course, Wound Care is by far the most profitable area still -- still not far away from 40-ish percent EBITDA as we have discussed before, but maybe 1% or 2% point lower the first -- this quarter versus last quarter same year due to FX and tariffs partly.
Derek Laliberte: All right. Perfect. And then just quickly, regarding this, so the ramp-up of warehouse or change for warehouse issues, you had recently in Q1 in the U.S. I mean, were this completely resolved? And did it have any impact on the performance in Q2, sort of negative or positive with stuff being pushed ahead, I guess, if that was the case.
Zlatko Rihter: I think being a customer-centric company, to be honest. I mean, when you have supply issues is never good. You always get some kind of damage on your reputation. I really hate that. It was extremely important that we satisfy customer needs. But in this case, yes, we mitigated that in Q2. So we have no big issues now. And of course, we need to monitor that closely continuously so that we don't ever end up in that again. It was maybe not the biggest hit ever, but of course, when you can't -- when you end up in back order type of situation, it's not good. So that's something we need to work hard to avoid also in the future. But now it's under control. And I think the damage was -- we managed it well at the end of the day.
Derek Laliberte: Great. Great. And then just a couple for Investor AB. I was wondering, in general here, you purchased shares in Ericsson lately within the core list of assets. I mean, when you're making these decisions apart from the potential decision sort of the intrinsic value, do you consider the concentration or weight in the portfolio of the asset as a sort of meaningful criteria when making these sorts of decisions?
Christian Cederholm: Thank you for the question. I can take the first crack on that. I would say that we're driven by sort of on a company-by-company basis and the strength of the case we see. And at the moment, we don't see any, call it, concentration issues. So that, in and by itself is not what guides our investments, I would say.
Derek Laliberte: Got it. Okay. And finally, from my side, this might be minor, but in Permobil likes noticed -- I think it was in Q1, you had a product recall of this SmartDrive SpeedControl Dial with some pretty sort of severe damages. Can you give an update on this potentially? And has led to like any litigation or similar?
Christian Cederholm: I can start that's correct and unfortunate, of course. I think those quality issues have been well handled. It has weighted somewhat on the sales, of course, but well handled for now.
Operator: Your next question comes from the line of Jacob Hesslevik from SEB.
Jacob Hesslevik: Also a question on Mölnlycke. So the leverage ratio increased to 3.3x in the quarter on my calculations, which I assume is even before the investment in Maine. So at what leverage ratio do you see as optimal for Mölnlycke going forward?
Jacob Lund: Maybe I can ask Jenny to support me in that question.
Jenny Ashman Haquinius: Yes, sure. Well, Mölnlycke has publicly listed bonds, Eurobonds, and for those, we have committed to a leverage ratio that should not increase above 3.5 or up to 4 if we see that we have attractive add-on or investment opportunities. And that leverage policy remain from also going forward.
Jacob Hesslevik: Okay. So the investment in Maine, would that qualify under the 4.0x?
Jenny Ashman Haquinius: Well, I would say that the investment in Maine will be within that leverage spend.
Christian Cederholm: It's important to remember also that now we're looking at a leverage ratio just after dividends. So normally, you get a little bit of an up and down. So normally the pattern.
Jenny Ashman Haquinius: Exactly. And given Mölnlycke's strong cash flow generation, we see a quite rapid leverage decrease also through the quarters.
Derek Laliberte: Yes. Fair enough. If we continue on Patricia, we have now seen double-digit declines in valuation compared to Q4 in a majority of the companies. Could you provide the split between FX and the multiples, whereas the majority of the headwind coming from?
Jenny Ashman Haquinius: I can start. And for the quarter, as we mentioned throughout the presentation, the absolute majority of the decline for this quarter for Patricia is a contraction in valuation multiples. So that's the absolute majority for the quarter.
Jacob Hesslevik: So given that organic sales growth is positive in the majority of the companies, and we assume market remains flat until Q3, we should then see a material pickup in valuations over the next quarter, I guess.
Jenny Ashman Haquinius: I think it's hard to say because it depends on so many factors. But of course, all else equal, maybe.
Christian Cederholm: I would also add that if you look at the FX, I mean what Jenny mentioned here is the -- basically our NAV valuations, right, our estimated market values. But there is, of course, in the underlying earnings of the companies, there's also a big FX effect. As Zlakto mentioned in Mölnlycke, for example, but of course, take a company like Permobil with 2/3 of its business in the U.S., there is a material impact from that as well. So you really have effects hitting on different lines, if you want. So that's important to keep in mind, I think.
Derek Laliberte: Yes. No, that's an important point. And just a quick final question from my side. The co-investment in Fortnox was new exciting information for me. Have you done any co-investment with EQT earlier with this the first one? And could you also give some more color on this decision and how it will be reported going forward?
Christian Cederholm: Yes. I can say as a background, I'm not aware of any co-investments of this type where we have a sort of passive minority co- investment. So that will be the first at least in a very long time. And the decision process is basically -- we see it as an extension of our engagement or investment in their respective funds. In this case, EQT X. And as a big limited partner or investor in their funds, we're glad to get the opportunity to, from time to time, consider co-investment opportunities. And then we were and are really attracted by the business model and by the strong track record of Fortnox in this case. And as for the reporting, they're reporting, it will basically be under EQT or investments in EQT.
Operator: Your next question comes from the line of Johan Sjöberg from Kepler.
Johan Sjöberg: And my question are to Zlatko. And first of all, thank you very much for joining this call, and it's also a nice follow-up from the last time you were here. And I remember back then, you were highlighting that you expected or you were looking for higher organic growth in Mölnlycke. I mean if you take sort of the underlying market dynamics and sort of forget about the tariffs just for a few seconds here. And do you see any change at all in the market dynamics that would sort of prevent you from continuing to grow at the same pace over the next few years compared with sort of the last years where you definitely have accelerated growth to the high single-digit organic growth?
Zlatko Rihter: If I answer that question first. I think we, of course -- I mean, we follow and there is always a little bit of a lag here. I mean if you look at, as I said, entering this year, we -- the total market grew somewhere around for 4.5% to 5%. So that was kind of the number to beat. If you look at the Q1 reports from our competitors, the growth was lower than that. It was kind of a 3-ish maybe, 3, 4 and then, of course, whatever will happen now in Q2, it's too early to say. So that, for example, Essity reported their Health and Medical this morning. They were around 2%, I think. We had 11 in Wound Care, which was that you have most transparency. But there is many, many companies that we'll report. So it's a little bit of a lag. It's a little hard to answer. But of course, if the market grows 4%, 5%, then if you have an ambition to grow growth-wise that -- that's close to 10%, 8% to 10% maybe if it's 2%, 3%, 4%, then it's, of course lower. So -- and of course, you cannot outgrow the market. There is limits, of course. So we will adapt to the reality here, of course, in our plans, because that also means that to grow x percent, you need to invest y percent. And that's where we now try to figure out what is the kind of growth to make sure that we outgrow the market, but we do that in an efficient and sustainable way. And that is, of course, when things change very fast and analysis we have to do. And we'll see what that is, but we follow that. And of course, super curious to see how competition will deliver their Q2 numbers, especially on the growth because that will give a little bit of a direction.
Johan Sjöberg: Yes. I was actually more sort of looking at over the next sort of 3 to 5 years maybe, and you're just trying to -- because I know Investor didn't like to talk about sort of the forecast for this year. I'm more sort of looking at sort of the market -- underlying market and give your introduction speech and also sort of aging population. So I mean, is there anything sort of 4% to 5% you mentioned here? Is that sort of base case scenario, which you feel sort of comfortable with over the next 3 to 5 years and sort of not looking at the next few quarters or anything like that.
Zlatko Rihter: No, I understand that. And you know it's really, really hard to answer that question. I think historically, it's been 4 to 5 years, quite stable. Will it be that in the future? And then that's a given, if something else, then we have to adapt to that. So -- and there is more uncertainty right now than it's kind of, if I may say, and I've been in MedTech now for 28 years. So much experience. And I'm not sure it's been this uncertain ever before, to be honest.
Johan Sjöberg: And if you are sort of looking at these different business areas, do you see -- are you -- because I mean, at the end of the day, I mean, it's the Wound Care business sort of which sort of decides where overall the high margins here. Is that -- when we're talking about the 4% to 5%, are we talking about Wound Care business? Or are we talking about the whole?
Zlatko Rihter: I'm talking about the whole. So if you take Wound Care, that is 5 plus, I would say, a little bit more than 5, 5% to 5.5%. It's been at least the last few years. And the others are more like 4.5-ish type of.
Johan Sjöberg: Okay. And when you're talking about sort of -- do you feel more uncertain for Wound Care over the next few year? I mean, just talking about this 4% to 5% once again? Or do you feel more comfortable with the Wound Care outlook?
Zlatko Rihter: I think one difference that emerge, and I was not allowed to talk tariffs, so I won't. But if I look, look at trade tariffs, I think that is emerging. We see trade barriers being introduced in our business recently EU is now talking about that all tenders above EUR 5 million will be locked -- closed for Chinese companies. Exactly how that will be pay out, I don't know. And then, of course, China makes countermeasures on that. So we need to have a kind of take the geopolitical part -- geopolitical trend into account here, which basically means that we need to figure out how we are seen as a local player so that we can bid on the tenders we want to bid on. And that is the key action that we have to take if we want to kind of continue to grow down the road. That is different. You cannot -- you need to be -- and that is usually manufacturing or something like that, parts for manufacturing, a few steps in the manufacturing. And then I think if you want to have my kind of 5 to 10 years view, we need to do much more of that to be relevant in some markets. And then I'll talk about the big markets, China, India, U.S., EU, Middle East, et cetera. So that is kind of the new game. And then it's a little bit tough to us how we make sure that we are seen as a local player that can bid in a credible way on the key tenders, where we usually have the private and the public segment and the public is usually protected, which is in most of these markets, half of the market, like the Ministry of Health, governmental tenders, et cetera. And that is what we'll decide if we can grow at the end of the day, if you ask me over a 5, 10-year period.
Johan Sjöberg: And if you compare your own sort of geographical manufacturing footprint then and compared with your competitors, how are you compared with those?
Zlatko Rihter: I think we're in a good shape there because we've done -- we kind of accepted the reality not now, but the last 10 years or the last 5 years, at least since I joined, we're really focused on that. So we have established manufacturing footprint in Saudi in then. We opened that factory this year. We are investing in China, maybe a little bit against what many other do, but still to be present there. We talked about India, where we also have plans and then, of course, expansion in the U.S. We talked about EU where we've a very strong foothold since before. So I think there, we have done a lot, and we need to do more, but we've done a lot. And then, of course, it's always. I would say usually if you ask me as what's been different now? I mean, in the past in health care, MedTech, you produced a little bit where you know it was low cost. Now you produce where you sell. That's the new era, so to speak. And to be relevant, we need to do that. But I think we are in a fairly good position. But there is much more to do.
Johan Sjöberg: Sorry, just a final question on your Mölnlycke, if that's okay. Thank you very much for the SEK 20 million specification, SEK 15 million plus SEK 5 million here. Just going forward here, how should we look at this? And how much of that will sort of are -- is sticky so that will continue to impact you? And how much was sort of is just isolated to the second quarter? I'm just trying to figure out how to look at the margin profile for you going forward.
Zlatko Rihter: Yes. If you can tell me what FX between SEK and U.S. will be in the quarter, then I can answer that question easier.
Johan Sjöberg: Yes. Well, let's assume that current FX rates continue then.
Zlatko Rihter: Yes, but I think the big part -- the biggest part is was direct hit. So it should help if it stabilizes a little bit, but it will still be a negative, I think. But it's extremely -- it's many, many kind of it's not that easy to calculate that fully, but there are many different scenarios.
Christian Cederholm: Maybe I can add some color. I mean, as you allude to, Zlatko, there are two effects from the FX, if you take Mölnlycke and first of all, just to establish, I think it's the dollar versus the euro, that's maybe most or most important currency relationship. And also, when you look at it in a single quarter, you will have some revaluation effects and then some effects that are basically based on the level rather. And I think it's fair to say that the revaluation effects were the smaller part of the FX effect this quarter.
Zlatko Rihter: Yes correct.
Johan Sjöberg: Okay. So if I understand that, so out of the 15 then, it's -- the bulk of that negative impact will continue into the second -- into Q3 given that there will be no changes on the FX. Is that how I should read it?
Christian Cederholm: Sort of, yes. But then again, Johan as you know, I mean, it's also very FX are during the quarter, et cetera, et cetera. But the smaller part was the revaluation part.
Operator: There are no further audio questions.
Jacob Lund: Thank you, Heidi. Then we have a couple of questions online as well. Let's capture a few of them. I think the first one has been covered the impact of exchange rate totally in this quarter that was from [indiscernible]. So I'll skip that and then to the next one from Frederick Eilber. Defense spending is expected to grow significantly in Investor' portfolio target markets. You have numbers for revenue exposure to the defense vertical? And where do you expect this growth to materialize in the portfolio. Would you like to cover?
Christian Cederholm: Okay. I can start. Thanks for the question. And I mean, if we look at Saab first, it's about 5% of, let's say, ownership weighted sales. But expected to grow, of course. And then that's the bulk of our defense exposure, of course. But needless to say, you also have other businesses, for example, Ericsson, Piab, et cetera, that indirectly at least benefit from the increased defense spending.
Jacob Lund: Very good. Next one from Morten Larsen at ABG, Zlakto talked about a EUR 5 million tariff it in Q2, but this has come late in the quarter or last in the quarter, what would a full quarter run rate it be as we look into Q3?
Christian Cederholm: I can take that if you want Zlakto. I think you first -- and unfortunately, we're not able to tell because there are so many moving parts. So it's really not a meaningful exercise sort of. I understand what we're after. But let's see where things land. And we just repeat what we said that we saw some direct impact in Mölnlycke and in some other companies as well and they were tilted naturally towards the latter part of the quarter.
Zlatko Rihter: And my answer is the same as Christian, so nothing to add.
Jacob Lund: And the last one we have is from Anil Sharma at Point72. Good morning, I wanted to understand the potential impact of pharma tariffs on some of the assets within Patricia Industries. Trump said he would allow for a 1- to 1.5-year grace period to bring back manufacturing to the U.S. before levying a 200% sectorial tariff. It's unclear if during that grace period, pharmaceutical companies would be subject to a lower tariff rate has Investor done any analysis around this? How should we think about the impact, for example, what percentage of your manufacturing is outside the U.S. that could be in scope?
Christian Cederholm: I can start. I think that discussion relates most directly to AstraZeneca and Sobi. And what I would say is that for both those companies, they have a significant share of revenues from the U.S. but also, they have a significant share of that sales being manufactured locally in the United States. So that had some mitigation or cushion. But of course, there will be some effects.
Jacob Lund: Good. And as we are speaking, the interest is very high today. So we have a couple of more coming in, one from Victor Philip any comments on the NVIDIA partnership with Investor/Wallenberg. I guess, referring to the investments made with 4 of our companies and Wallenberg investments a few weeks back.
Christian Cederholm: Very quickly, a really interesting initiative. And it's, as you say, Jacob, by 4 portfolio companies and then Wallenberg investments. We have jointly then invested in AI compute capacity in Sweden, so that will be sort of a safe and resilient. And that will be used as a complement to other, call it, normal cloud-based compute power for both model training, but also inference.
Jacob Lund: Final one. Do you have an unified AI strategy for group companies? Or does each company have to invest separately? That comes from [indiscernible] at Nagarro.
Christian Cederholm: So, there are examples where we can cooperate, of course, but the basic of our ownership model as you know is a decentralized one. So it's up to each company to see where they see the most benefit from AI and how that is then being provided. But of course, we do all we can to make sure that good examples, for example, are shared between the companies. And I should say this is one of the areas. I mean we've said before, there are a couple of -- when it comes to future proofing, it's different for every companies, but there are also a couple of themes that run across basically our whole portfolio. AI is clearly one of those future -- sorry, sustainability is another one. So it's a great question.
Jacob Lund: Good. Thanks a lot for all the questions today. I can't see any further ones. Many thanks to you, Zlatko, for joining us today. Thank you, Christian and Jenny as well. Next scheduled call is our interim report for the third quarter, which is scheduled for October 16. And until then, thank you, and goodbye.